Operator: Good day! Welcome to the Broadridge Financial Solutions Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to hand the call to Edings Thibault, Head of Investor Relations. Please go ahead.
Edings Thibault: Thank you, Andrea. Good morning, everybody. And welcome to Broadridge's fourth quarter and fiscal year 2024 earnings call. Our earnings release and the slides that accompany this call may be found on the Investor Relations section of broadridge.com. Joining me on the call this morning are Tim Gokey, our CEO; and our Interim Chief Financial Officer, Ashima Ghei. Before I turn the call over to Tim, a few standard reminders. One, we'll be making forward-looking statements on today's call regarding Broadridge that involve risks. A summary of these risks can be found on the second page of the slides in a more complete description on our Annual Report on Form 10-K. Two, we'll also be referring to several non-GAAP measures, which we believe provide investors with a more complete understanding of Broadridge's underlying operating results. An explanation of these non-GAAP measures and reconciliations to their comparable GAAP measures can be found in the earnings release and presentation. Let me now turn the call over to Tim Gokey. Tim.
Tim Gokey: Thank you, Edings, and good morning. It's great to be here to discuss our strong fiscal ‘24 financial and operating results. I'm also pleased to be joined by Interim CFO, Ashima Ghei. Ashima took over on July 1 from Edmund and we continued to wish good luck in his next endeavor. Importantly, I've had the opportunity to work closely with Ashima over the past two and a half years as she played a leading role in driving the strong results of her ICS business. Previously, she was in American Express for 18 years, and she has brought a strong combination of deep insight and experience to her role as CFO of ICS here at Broadridge. Ashima, welcome.
Ashima Ghei: Thank you, Tim. Great to be here.
Tim Gokey: I'll start my review this morning with a quick comment on what we're seeing in the market. Over the past six months, the market has been stable to improving. Our clients have been moving proactively to digitize communications, simplify and modernize their technology infrastructure, and enhance investor engagement. These trends played to Broadridge’s strengths, and they drove record closed sales for the quarter and for the year. This past week has seen much higher volatility, with questions about the pace of rate easing and sustainability of growth. It's too early to know if this represents a market turn, but if it does, these kinds of environments are where Broadridge's resilient recurring revenue business model really stands out. I'm confident that Broadridge is going into fiscal ‘25, poised to deliver another year of sustainable growth backed by a record backlog of sales already closed, a strong pipeline, and resilient volume trends. We're executing on our growth strategy and investing in our products and capabilities. So in any scenario, I feel very good about how we're positioned. With that as context, let's review our strong results and strategic progress. I'm happy to report that Broadridge is executing on our strategy to democratize and digitize Governance, to simplify and innovate in capital markets, and to modernize wealth management. Our clients look to us as trusted and transformative partner to help them adapt to regulatory change, reduce cost and complexity, and drive innovation. That trusted and transformative position, along with strong execution, is driving record closed sales. For the year, Broadridge reported 39% growth in closed sales to $342 million. That's both record sales and record sales growth. It's also enabling Broadridge to continue to deliver strong and sustainable growth. For the full year, adjusted EPS rose 10% on 6% organic growth in recurring revenues. As we've seen all year, that growth was accompanied by strong free cash flow conversion, ending the year at 102%. Higher cash flow and our strong balance sheet enabled us to fund tuck-in M&A investments, and we purchased $450 million in Broadridge shares. I'm also pleased to announce a 10% increase in our annual dividend, the 12th double digit increase in the last 13 years. Finally, the combination of strong execution and sales growth has Broadridge positioned to deliver another year of strong and sustainable growth in fiscal ‘25. Our guidance includes 5% to 7% organic recurring revenue growth, and 8% to 12% adjusted EPS growth, with $290 million to $330 million of closed sales. Now, let's dive into how we generated these strong results, starting on Slide 4 with our governance business. We continue to make strides in executing our strategy to drive the democratization and digitization of governance. For FY’24, our ICS business reported 5% recurring revenue growth, driven by data-driven fund solutions, issuer and digital communications. Part of driving democratization is enabling the continued growth in equity and fund investments by Mainstream investors. Full year equity position growth was 6%, including 7% in the fourth quarter, in line with mid-to-high single-digit trends of the past decade or more. That growth was driven by managed accounts, which continued to be a key area focus for Wealth Advisor, while self-directed position growth was flat. Mutual fund and ETF growth was 3% for the full year, driven by demand for passive funds. While growth picked up to 6% in the fourth quarter, demand trends remained mixed. Money market fund positions, which account for less than 5% of the total, grew by 17% in the quarter, suggesting that many investments remained content to be in cash. Recall that investors tend to have only one money market fund versus multiple equity or bond funds. So growth in money markets tends to lower overall position growth. Beyond position growth, Broadridge is driving democratization by helping our fund clients implement voting choice for their shareholders. We are now enabling more than 100 separate funds to offer their investors a greater say in governance, up from only eight a year ago. We're also seeing strong interest in Europe, where funds see voting choice as a competitive differentiator. Our virtual shareholder meeting capabilities are also making shareholder meetings more accessible. We recently hosted more than 6,500 investors and guests on our VSM platform for the meeting of a mega cap tech company. We're playing a role in enabling investors to weigh in on the governance in some of the largest and most widely held companies in our market, including Disney earlier this year and Tesla in the fourth quarter. I'm especially pleased with the success of our tailored shareholder report solution. As most of you know, beginning last month, tailored shareholder reports replaced the 100 plus page annual and semi-annual reports that fund shareholders previously received with a condensed and more digestible two to three page report. While, it's a big step forward in enabling funds to communicate more effectively with their shareholders. It doesn't come without added cost or complexity. Funds now need to manage a much greater number of individualized reports that first need to be digitally composed and then distributed to shareholders. To meet that demand, we created solutions to lower the print and distribution costs of these new communications and streamline the higher value digital composition and digital tagging work. Our ability to deliver compelling solutions in the face of a looming regulatory deadline was critical for our clients, and the sales of our TSR Solution contributed strongly to our overall sales growth this past year. It's a great example of how Broadridge is bringing innovation and value added services to do more for asset management clients. Finally, our printed digital strategy is driving digitization in our customer communications business. After crossing over the 100 million digital revenue threshold in fiscal ‘23, we delivered another year of double digit growth in ‘24 driven by continued on-boarding of new clients to a Wealth InFocus Digital Solution. In the fourth quarter, we reached agreement with a major financial services firm to bring its digital communications infrastructure onto our platform. This was an existing Broadridge print client who sees Broadridge’s digital capabilities as an opportunity to accelerate client engagement and drive additional savings. New sales like this give our BRCC business a clear runway for growth in ‘25. Now, let's move to our Capital Markets franchise. We continue to make strong progress against our goal of simplifying and innovating across the trade life cycle. Capital markets revenues crossed the $1 billion revenue milestone, rising 8% for the year, driven by strong growth in BTCS and by the onboarding of new global post-trade clients. In the front office, our bank clients face the pressure to drive ever-increasing trade volumes at lower spreads from a faster settlement across multiple asset classes and geography. We're meeting that need by delivering a state-of-the-art global SaaS platform that gives trading firms best-in-class order management, execution, scale, and reliability. We're now extending those capabilities to the derivatives market by developing new futures and options solutions. We also continue to help our clients reduce the cost and complexity of their back office operations for their global post-trade capabilities. In fiscal ‘24, we brought a leading global bank, the international operations of a major European bank, and a leading Nordic bank onto our global post-trade platform. By combining multiple existing platforms and dozens of markets, Broadridge is enabling these clients to simplify their operations, reduce complexity, and optimize capital. Only Broadridge can deliver that kind of global simplification at scale, and our success is driving a strong pipeline of additional post-trade engagements. Driving simplification also means helping our clients adapt to regulatory change, and the transition to T+1 at the end of May was a notable example. The move to a shortened settlement cycle across North American equities and corporate and municipal bonds was the culmination of initiative that began in 2020. The goal was to reduce systemic risk or lowering clearinghouse collateral requirements and enhancing operational efficiency. For Broadridge, it was another opportunity to showcase the benefits of metallization. For more than a year leading after the change, our teams focused on delivering rigorous testing, meticulous planning, and robust client communication. A year ago, we set up a T+1 test environment that enabled clients to thoroughly test their own preparedness, and we led and participated in industry-wide initiatives along with the DTCC and CDS. The results have been a seamless transition for our clients, marked by significant improvement in industry-trade date affirmation rates, a 30% reduction in certain collateral requirements, and increased liquidity. Finally, we're driving innovation across trading through the adoption of AI and distributed ledger technology. We're seeing growing interest in our AI solutions, including our now-patented BondGPT capability and our OpsGPT console. Our distributed ledger repo platform is delivering reduced external transaction fees, lower sales, and increased liquidity. We added two new clients onto our DLR platform in fiscal ‘24, increasing our monthly average trading volume to $1.5 trillion. Now let's turn to Wealth and Investment Management on Slide 6. In Wealth, we are helping our clients modernize and transform on their own terms with our modular suite of capabilities. Wealth and Investment Management revenues rose 7% in fiscal ‘24, driven in part by the go-live of our UBS contract at the beginning of the year. Partially offsetting this growth was the de-conversion of Morgan Stanley E-Trade. After a three-year journey, we helped Morgan Stanley complete the transition of the E-Trade platform last fall. More broadly, the sales of our Wealth and Investment Management solutions rose more than 40% in fiscal ‘24, including a strong contribution from our Wealth platform solutions. Our pipeline continues to grow, and we're seeing continued demand for tools that help increase advisor effectiveness, enhance client engagement, and drive operational efficiency. Last quarter, we announced the acquisition of Kyndryl SIS business in Canada. The SIS platform provides front, middle, and back-office technology for Canadian financial services firms. The addition of the SIS clients to our existing business in Canada will accelerate our ability to bring new capabilities, including our wealth solutions, to the Canadian market. That deal is now moving through the Canadian regulatory review process, and we expect it to close in the first half of fiscal ‘25. I'll close my review of our fiscal ‘24 execution with closed sales. Broadridge reported record closed sales of $342 million, including fourth quarter sales up more than 70% to $157 million. We benefited from strong demand for our tailored shareholder reports and digital capabilities in ICS, and from strong growth in both capital markets and wealth in GTO. It's a direct reflection of the steps we've taken to help our clients adapt to change and grow their business. It's gratifying to see our investments translate into growth. Our strong sales performance is a clear sign that as clients begin to reinvest themselves, they see Broadridge as a trusted, transformative partner to help them operate, innovate, and grow. And with a strong pipeline going into next year, we expect another year of strong sales in fiscal ‘25. I'll wrap up my review with some closing call-outs on Slide 7. First, Broadridge is executing on our growth strategy. We're driving the democratization of investing by ensuring that a growing number of Mainstream investors get the critical information they need to understand their investments and make their voice heard. We're powering important corporate elections and extending voting choice. As an upcoming change in regulatory fund reporting, we stepped up to develop innovative, tailored shareholder report solutions. In digital, we started a journey years ago to combine world-class digital solutions with our low-cost print network. And in GTO, we have acquired, built, and invested in our front and back office solutions to help our clients’ trade faster, engage with their clients, enhance adviser productivity, and reduce operational complexity. We're delivering new capital markets capabilities in derivatives and extending our global reach. We've enabled faster settlement times for dozens of clients and trillions of dollars of assets. We're driving innovation with AI-Enabled solutions and distributed ledger technology. We're live with our Wealth platform. We're driving the sales of our modular solutions and we're leveraging the technology more broadly, including as we extend and grower out business in Canada. Our execution on these strategies drove record-close sales, 6% recurring revenue growth, and double-digit adjusted EPS growth in fiscal ‘24. Looking ahead, we expect another year of strong and sustainable growth in fiscal ‘25, and we're on track to deliver on our three-year financial objectives. Most importantly, we continue to see a long runway for future growth. Technology trends are enabling more investors to participate in the market and giving them access to increasingly sophisticated investments. Digitization is transforming the way businesses engage with their clients. Trading continues to accelerate, and banks look to reduce the cost and complexity of their operations. Regulators around the world are constantly updating rules to modulate behavior and improve disclosure for all investors. And every one of those trends is shaped by the power of data and AI. We've positioned Broadridge to help our clients meet the opportunities and challenges these trends create. We're executing on a growth strategy to do even more as we attack our $60 billion and growing vented market opportunity. The power of mutualizing change to increase speed and reduce cost is true in almost all economic environments, and our resilient business model is particularly strong in periods of higher volatility. I've never been more optimistic about Broadridge's future. Before I hand over to Ashima, I want to thank our associates. As I've talked about today, Broadridge is executing on multiple fronts, and none of that would be possible without the hard work and client focus of everyone at our company. So, thank you for your work in serving our clients today and for helping to transform our industry for tomorrow. Ashima.
Ashima Ghei: Thank you, Tim. It's great to join all of you to discuss the strong results and to review our guidance for fiscal ‘25. Broadridge has a long track record of delivering strong and sustainable top and bottom line growth with strong shareholder returns, and this year was no different. Fiscal ‘24 recurring revenue grew 6% constant currency, and adjusted EPS grew 10%. Before I go through the results, I want to call out the key items that give me confidence that we are on track to deliver on our fiscal ‘25 guidance and our three-year growth objectives. First; sales and backlog. Record closed sales of $342 million drove a 13% increase in revenue backlog, giving us strong visibility into our revenue growth in fiscal ‘25 and ‘26. Second, position growth. Equity position growth was 6% in ‘24, and fund position growth was 3%. Our current testing shows a modest improvement in those trends with continued mid-to-high single-digit growth in equities and mid-single-digit growth in funds. Third; expenses, investments and margins. We have a long history of driving operating leverage. This quarter, we completed a restructuring initiative that will position us to continue to fund long-term growth investments, grow core margin and deliver earnings growth. Fourth and last, capital allocation. In fiscal ‘24, we repurchased 2.3 million shares for $450 million and have recently announced three tuck-in M&A investments. That capital will contribute directly to our top and bottom line growth. These four areas position us well to deliver our three-year financial objectives and our fiscal ‘25 guidance which calls for 5% to 7% recurring revenue, constant currency growth, almost all organic and 8% to 12% adjusted EPS growth. With that let's go through the numbers on Slide 8. Fiscal ‘24 recurring revenues grew to $4.2 billion up 6% on an organic constant currency basis. Adjusted operating income grew 9%. Adjusted EPS grew 10% to $7.73 and we reported record closed sales of $342 million which drove our recurring revenue backlog to $450 million. Turning now to the fourth quarter headline numbers. Recurring revenue grew 5% on a constant currency basis to $1.3 billion. Adjusted operating income grew 5% and AOI margin was 28.8%. Adjusted EPS rose 9% to $3.50 and closed sales rose 74% to a fourth quarter record $157 million. Moving to Slide 9, fourth quarter recurring revenue rose 5% to $1.3 billion driven by a combination of converting revenue from sales and mid-single digit position growth. For the full year recurring revenue growth was 6% essentially all organic and in line with our three-year organic growth objective of 5% to 8%. Let's turn to the next slides to review the growth across our ICS and GTO segments. In Q4 ICS recurring revenue grew 6% powered by growth across all four product lines. We also saw the benefit of the timing delays we'd called out in our Q3 results which added 1 point to fourth quarter growth. For the full year ICS recurring revenues were up 5% to $2.6 billion. Regulatory revenue grew 7% in Q4 and 5% for the full year in line with position growth. Looking ahead we expect continued mid-single digit revenue growth in fiscal ‘25 in line with our position testing. Data-driven fund solutions revenue increased by 7% in the fourth quarter and for the full year driven by growth in retirement and workplace solutions and our data and analytics products. The acquisition of AdvisorTarget which closed on June 1st made a very modest contribution to growth. Issuer revenue grew 5% in Q4 and 7% for the full year led by growth in our registered shareholder solutions and disclosure products. Customer communications recurring revenue rose 3% in the fourth quarter and 2% for the full year as we continue to execute our print to digital strategy. Digital revenues grew double digits for both the quarter and the year. We expect customer communications growth to accelerate in fiscal ‘25 driven by a combination of digital growth and new client wins. Looking ahead to fiscal ‘25 we expect stronger ICS recurring revenue growth driven by revenue from strong fiscal ‘24 sales, continued mid-single digit position growth and strong growth in digital which will more than offset the loss of 33 revenues and lower float income. Turning to GTO on Slide 11, Q4 recurring revenue growth was 4%. For the full year GTO revenues grew 8% to $1.6 billion. At the high end of our three year 5% to 8% organic growth objective, driven by strong growth across both our capital markets and wealth businesses. Capital markets revenue grew 6% in the fourth quarter. Strong growth in revenue from sales and higher trading volumes more than offset lower license revenue. Full year revenues increased 8% powered by strong growth in BTCS and revenue from sales from new global post-trade clients. Wealth and investment management revenue increased 7% for the full year. Fourth quarter growth was flat, as revenue from new sales was offset by the E-Trade deconversion and lower license revenue. We expect the impact of E-Trade will continue to weigh on the wealth and investment management growth through the first half of fiscal ‘25, especially in the first quarter. Looking ahead to fiscal ‘25, we expect GTO revenue growth to be at the low end of our 5% to 7% recurring revenue guidance range, with stronger growth in capital markets and lower growth in wealth and investment management. Excluding the impact of E-Trade, wealth and investment management growth would be at the higher end of the 5% to 7% recurring revenue guidance. Now, let's turn to slide 12 to review volume trends. Position growth returned to mid to high single digits for both equities and funds in the fourth quarter. Equity position growth rose to 7% in the fourth quarter, in line with our testing. Full year growth was 6%, driven almost entirely by double digit growth in managed accounts. Our fiscal ‘25 first half testing continues to show healthy mid to high single digit growth. Fund position growth metric rebounded to 6% in the quarter. Full year fund position growth was 3%, driven by growth in passive funds and double digit growth in money market funds. Fund flows have strengthened in recent months and our current testing of underlying fund positions is indicating a modest pickup to between 4% to 5%. Turning to trade volumes, trade volumes grew 15% on a blended basis in Q4, driven by both higher fixed income and equity volumes. For the full year, trading volumes were up 13%. Let's now move to Slide 13 for the drivers of recurring revenue growth. For the quarter, recurring revenue growth was 5%, virtually all organic, and balanced between net new business and internal growth. Revenue from closed sales provided 5 points of growth. Our recurring revenue retention rate was 97% for the quarter and for the full year. Adjusting for the E-Trade deconversion, retention rates remained at 98%. And internal growth, primarily positions and trading volumes contributed 3 points. Lastly, we closed two small acquisitions in our ICS segment. Advisor target contributed less than 5 basis points to fourth quarter revenue growth and CompSci closed at the beginning of July. We expect these two acquisitions will contribute approximately 20 basis points to fiscal ‘25 recurring revenue growth. I'll finish the guidance on revenue on Slide 14. Total revenue grew 6% in Q4 to $1.9 billion, and recurring revenue was the largest contributor, with 4 points of growth. Event-driven revenue was $76 million and contributed 1 point to Q4 growth. Event-driven revenue benefited from higher levels of mutual fund proxy and equity contest activity versus the fourth quarter of last year. Low to no margin distribution revenue increased 4% and contributed 1 point to total revenue growth, driven by higher postal rates. Remember, these have a dilutive impact on our adjusted operating income margin. So let's turn to margins on Slide 15. Adjusted operating income margin for Q4 was 28.8%, as the positive impact from operating leverage was offset by the timing of annual expenses. On a full-year basis, adjusted operating income margin was 20%, up 20 basis points from fiscal ‘23. The combination of operating leverage and the benefits from our fiscal ‘23 restructuring enabled us to absorb the deconversion of E-Trade and higher amortization from our wealth platform, while increasing our investments in long-term growth and meeting our earnings objectives. The net impact of higher float revenue and distribution, which have little impact on earnings, increased margins by 30 basis points. During the fourth quarter, we completed the restructuring program we began last year to realign some of our businesses and streamline our management structure. We incurred $56 million in fourth quarter charges, which were not included in our calculation of adjusted operating income and adjusted EPS. We estimate that these actions will generate over $100 million in annualized cost savings, which will position us to fund investments, further scale our business, and deliver earnings growth. Rounding out the fourth quarter non-GAAP items, I would also note that we incurred $10 million in charges to settle various legal matters. Let's move ahead to closed sales on Slide 16. Broadridge had a very strong sales year. Fiscal ‘24 sales rose 39% to a record $342 million, driven by a very strong fourth quarter, where closed sales grew 74% to $157 million. As you heard from Tim, we benefited from strong sales of our tailored shareholder report solutions and digital, as well as strong growth across both our capital markets and wealth and investment management solutions. These strong sales lifted our revenue backlog to $450 million, equal to 11% of our fiscal ‘24 recurring revenue. I'll now turn to cash flow on Slide 17. Broadridge generated free cash flow of $943 million in fiscal ‘24, up 26% from fiscal ‘23. Free cash flow conversion increased to 102% from 90% in Fiscal ‘23 and 42% in ‘22, returning to a more historic levels after a period of higher investment. We expect free cash flow conversion of approximately 95% to 105% in fiscal ‘25. Let's move next to capital allocation on Slide 18. We continue to take a balanced approach to capital allocation. In Fiscal ‘24, we made platform investments of $41 million and deployed $113 million on capital expenditures and software spend. Fiscal ‘24 also marked a return to tuck-in M&A. In total, we enhanced our data and analytics solutions with the $35 million acquisition of Advisor Target and closed the smaller acquisition of CompSci on July 1 to augment our issuer capabilities. In May, we announced the proposed acquisition of SIS from Kyndryl for approximately $200 million. SIS is a leading Canadian wealth and capital markets technology platform with annual revenues of $80 million to $85 million. The acquisition is expected to close during the first half of our fiscal year and will not have a significant impact on our margins or adjusted EPS during the first year of operation. Given the inherent timing, uncertainty of regulatory review, we have not included it in our guidance. We will add SIS to our Fiscal ‘25 guidance after it closes. After internal and external investments, we return excess capital to shareholders. We returned $781 million to shareholders in Fiscal ‘24 through a combination of dividends and share repurchases. During the fourth quarter, we repurchased $300 million of shares, bringing our total gross repurchases in Fiscal ‘24 to $450 million. Finally, we repaid $60 million of debt, ending the year with a 2.2x leverage ratio, below our long-term target of 2.5x. Last night, our Board approved a 10% dividend increase to $352 per share. As Tim noted, this is our 12th double-digit increase in the last 13 years, which emphasizes both, our sustained earnings growth and our long-term commitment to balanced capital allocation. I'll close my prepared remarks this morning with some detail on our guidance on Slide 19. We expect another year of sustainable recurring revenue growth, core margin expansion, strong adjusted EPS growth, and very healthy closed sales in fiscal ‘25. Let me walk through each of those points, starting first with revenue. We expect recurring revenue growth constant currency of 5% to 7%, almost all organic, driven by new sales as we onboard our $450 million revenue backlog. We expect ICS recurring revenues to be at the higher end of that range, with GTO lower. We expect event-driven revenues to be at the high end of our historic range, driven by a proxy campaign at a major mutual fund complex in our second quarter. Distribution revenues are forecast to grow at low double-digit rate, powered by higher postage rates and stronger BRCC print volume. We expect these low-to-no margin revenues to have a dilutive impact on our reported margins. Second, let's move to margin. We expect adjusted operating income margin will be approximately 20%. We anticipate the combination of higher operating leverage and disciplined expense management will enable us to deliver over 50 basis points of underlying core margin expansion, in line with our three-year financial objectives. We expect this to be partially offset by the impact of higher distribution revenues and lower float income. Third, EPS. We expect adjusted EPS growth of 8% to 12%. Embedded in this outlook is an expected tax rate of 21%. Fourth, we expect another year of strong closed sales. Our guidance range of $290 million to $330 million reflects continued growth from our fiscal ‘24 results, excluding sales of tailored shareholder report solutions. And lastly, I will remind you that our guidance does not include the impact of SIS. Taken together, our Fiscal ‘25 guidance highlights the strength of the Broadridge business model. Now before I conclude, let me offer some insight on our first quarter. We expect our first quarter earnings will account for 10% to 11% of our full year adjusted EPS, at the low end of our historical range, driven in part by lower event-driven revenue versus Q1 of ‘24 and the E-Trade impact. So let's wrap up with a quick summary of the key takeaways from our strong fiscal ‘24 results. First, Broadridge delivered another year of strong and sustainable recurring revenue and adjusted EPS growth. Second, our record closed sales highlight the strong demand for our solutions and give us increased visibility into future growth. Third, we are putting our strong free cash flow to work for shareholders, with another double-digit dividend increase, strategic and value-creative acquisitions, and share repurchases. Finally, Broadridge is poised to deliver another strong year in Fiscal ‘25, keeping us well on track to achieve our three-year growth objectives for the fourth consecutive cycle. With that, let's move to Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question will come from Dan Perlin of RBC Capital Markets. Please go ahead.
Dan Perlin : Thanks. Good morning. Tim, I just wanted to ask you, and you touched on this a little bit in the prepared remarks, but we are seeing a pretty material uplift in volatility here, and I appreciate the recurring revenue model. The question is really, in times where we’ve seen this kind of volatility in the past. What have kind of the client behaviors been, and how has the business kind of performed, and are there things structurally different about the business today that you think if we look at other historical periods where we had this heightened volatility, we might have more stable hands, so to speak, this quarter around? Thank you.
Tim Gokey: Yeah Dan, thank you. Thank you very much for that. And obviously, we have no special knowledge about whether what we're seeing is just a moment or is something more significant. But I do think, and I highlighted this in my prepared remarks, that one of the most attractive features of our business model is its resiliency. And when you look at our fee revenues, they are 94% recurring, and the highest driver there is revenue from sales, and we have a $450 million backlog of things that are already contracted. And, when you look at position growth, it's been pretty resilient through a variety of economic cycles. It has sometimes gone down. In global financial crisis, it went down, it didn't go below zero, but it still stayed positive. We're hedged on interest rates, and volatility benefits us on trading. So, I think if you compare where we are now to where we've been in past periods of volatility, it's really not a lot different. The fundamental components around resilient business model, high recurring revenue, revenue from sales, all of those really remain intact. High trading, that volatility debt is a little bit of a plus in the near term. Sometimes when it's volatile, that causes position growth to slow a little bit, but that's all very speculative at this point, and those things really don't move our broad numbers. So that's why we were pretty confident today around our guidance on 5% to 7% recurring revenue growth, 8% to 12% earnings.
Dan Perlin: That's great. Thank you so much.
Operator: The next question comes from Darrin Peller of Wolf Research. Please go ahead.
Darrin Peller: Guys, thanks. And Ashima, congrats, and welcome to the call. I just want to touch base on the strength in bookings trends. I think you hit $340 million in closed sales for fiscal ‘24, which was above the range. I think the midpoint you had said was $300 million for the year. So just, maybe just revisit what – if you take it a step back and revisit the key drivers and the strength, and then really where you are seeing in demand right now, going forward in terms of drivers and areas of real demand for the new bookings and new closed sales.
Tim Gokey: Yeah Darrin, thank you. Thank you very much. Look, we are really proud of the ‘24 sales results with the $342 million. Really driven in ‘24 by four drivers, tailored shareholder reports, digital solutions, strong growth in both capital markets and wealth and investment management. And tailored shareholder reports were an important part of that story, but we like the other stories too. And if you pull out the one-time impact of tailored shareholder reports, sales were at record levels, and we expect that to grow off of those sales, excluding TSR. You know, what we really like is that the sales that we're seeing are aligned with the investments that we have been making, investments in regulatory, investments in digital, investments in capital markets, especially on the front office side, and in wealth. And each of those areas saw strong growth this year. Each of those areas has a nice pipeline for next year. So as we think about where we're seeing that demand that you mentioned, you know we've talked about the bigger themes of helping our clients grow their revenue or helping our clients reduce cost, and the sub-solutions in each of those areas really hit on those. So looking ahead, we're expecting these trends to continue to be very positive, excluding the impact of tailored shareholder reports. We expect to continue to grow our sales in FY ‘25, and we feel good about the 290 to 330 based on our strong pipeline.
Darrin Peller: All right. Very good. Thanks guys.
Operator: The next question comes from James Faucette of Morgan Stanley. Please go ahead.
James Faucette: Great. Thank you very much. I wanted to ask on wealth. It seems like on the wealth front, you alluded to strong pipeline growth for some of the new wealth management solutions. Are you still on track to deliver the $20 million to $30 million of incremental module sales, and how should we be thinking about incremental opportunities down the road there?
Tim Gokey: Yeah James, thank you very much. We were really happy with how our wealth business continued to perform, obviously 7% up for the past year as we benefited from the onboarding of UBS, partially offset by E-Trade. We do see continued momentum in ‘25 with really being at the high end of that 5% to 7% if we pulled out the E-Trade impact. Remember, E-Trade happened sort of a little bit after the end of the first quarter last year, so the first quarter this year will be impacted. Look, it is strong sales, and it is with clients who want to, we always call it ‘transform on their own terms,’ which is to be able to use a modular approach as a way to long-term transformation. And obviously, the sales are up 40% year-on-year. That was right near that sort of $20 million goal, so not at the 30, but near the 20. We really like though the pipeline of opportunities, and our pipeline right now is 30% higher than it was 12 months ago. And if you remember, that pipeline was up quite a bit over the pipeline the year before. So I think we're continuing to see that nice build. Then really, as we get into SIS in Canada, that's going to really add to the long-term opportunity. We're looking forward to being able to bring our investment on the wealth platform with SIS to accelerate and bring that to the Canadian market as well.
James Faucette: That's great. Thanks.
Operator: The next question comes from Puneet Jain of J.P. Morgan. Please go ahead.
Puneet Jain : Yeah, hi. Thanks for taking my question. It seems like the advisor target and CompSci deals are different from your prior or typical deals. As you noted, they are both small tuck-in in nature, as well as both of them are in digital areas. Should we expect more deals like this as your M&A priority over the near term?
Tim Gokey : Yeah, thanks Puneet. It's a great question. Just stepping back, I like talking about M&A, but let's just remember we're an organic growth company. Our growth is primarily organic. There's a long runway given the $60 billion TAM. But that said, as you pointed out, M&A has been an attractive way for us to meet new needs for clients. Remember, for context, we're calling for sort of 1 to 2 points from M&A over the long term. When you look at advisor target and CompSci, they are perfect examples of a buy versus build philosophy. When we look at an area where there's a client need that we think we're the right person to meet, then we look, do we have a platform that's really one that we can build on? Or is there, a really good set of entrepreneurs in the market who've taken something and gotten it to a place where then combining it with us would help them accelerate and help us fill out our product line. It's faster to buy it than it is to build it. So, that's been very successful for us in the past. When you think about sort of the mix of M&A going forward, it's interesting this year because you had AdvisorTarget and CompSci, but you also had SAS, which is a real company with real revenue, nice margins, and it's that sort of portfolio mix, and you've seen that over time. So we've been – we were really proud of our track record over time with M&A. We've done 40-some transactions, but it's always been disciplined in terms of the financial returns. It's always been very strategic in terms of the areas and how – why we're the best owner and those are the things that won't change.
Puneet Jain : Okay. Thank you. Then quickly if I can ask, like, is the duration of backlog, $450 million, any different from what it generally is and that has been in the past?
Ashima Ghei: Yeah. So Puneet, I'll take that. Our backlog includes a backlog in our ICS business and our GTO business. As you know, typically ICS sales convert a lot faster than on the GTO side. As we've looked at our revenue guidance for fiscal ‘25, we've taken some of that into account and the accounting on conversion from that sales backlog.
Tim Gokey : And Puneet, I'd just add that when you look at the revenue, and this is part of the prepared remarks, but the backlog as a share of recurring revenue, it's 11% this year. If you look back last year, it was 10%. So it's not dramatically different but incrementally better.
Puneet Jain : Thank you.
Operator: The next question comes from Patrick O'Shaughnessy of Raymond James. Please go ahead.
Patrick O'Shaughnessy : Hey, good morning. A question on margins. I'm just kind of curious about the lack of margin expansion embedded within the fiscal ‘25 guide, given that the $1 million savings from restructuring I think would boost margins by 1.5%, all else equal. So maybe can you talk about or quantify the margin headwinds from distribution revenues and float income in fiscal ‘25, and then maybe bigger picture, how confident are you still in your kind of three-year, 50 basis points per year margin outlook?
Ashima Ghei : Thanks Patrick. I'll take that one. So you know this, Broadridge has a long history of being able to fund long-term investments, while delivering on our earnings objectives, and margin expansion is a super important part of that story. We've delivered on average 80 basis points of annual margin expansion over the last 10 years. Having said that, we do see margin expansion as a means to an end. What we are really focused on, is on delivering sustainable double-digit earnings growth, while investing in our long-term growth opportunities, both of which we effectively achieved in fiscal ‘24 and is what we are guiding towards for fiscal ‘25. So as we think about fiscal ‘25, you are right in pointing out, we're guiding to 20%. We do expect to see the impact of float income coming in lower. We've factored in a couple of rate cuts into our estimate. We expect the impact of distribution. But we do expect the benefits from the restructuring program that we just did and core margin expansion to allow us to fund our long-term growth investments, still getting us right on track with the 8% to 12% sustainable earnings growth.
Tim Gokey : And Patrick, I'll just add in that, and actually that was great. I think as you pointed out, we have overcome a number of, when you think about the three-year number of one-off impacts with VMAP [ph], with E-Trade, with rates coming down now. So there are a number of things. At the same time, we feel really good about the core margin expansion next year and no reason to see why that wouldn't continue to be the case in the future. I just step back to say we're an organic growth company. We think of every client as a 1990-year client, and part of that promise is always to be investing in what's next. That's a great formula for our clients, associates, and shareholders. So we are making investments in governance, in digital, voting choice, in the front office. We have the ability to flex those up and down. That's one of the ways we've been able to be really resilient over time.
Patrick O'Shaughnessy: Perfect. Thank you. And then just a quick clarifying question. So the 5% to 7% recurring revenue growth outlook for the year, that embeds 0.2% contribution from the two smaller tuck-ins and nothing from the SIS deal. Do I have that correct?
Ashima Ghei : That's correct.
Patrick O'Shaughnessy: Thank you.
Operator: This concludes our question-and-answer session. I'd like to turn the call over to management for any closing remarks.
Tim Gokey : Yeah, thank you operator. As you can tell, we believe that the Broadridge business model is resilient. That resulted in strong fiscal ‘24 results with outlook for another strong year in fiscal ‘25 and for a three-year period. We believe we're executing on a growth strategy. We have long-term trends behind us that we're very well positioned in a $60 billion and growing market. Thank you very much for your interest in our company. We look forward to reporting our next set of results to you later this fall.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.